Operator: Good day. Welcome to the FRMO Corp Quarterly Conference Call. As a reminder, today's call is being recorded. At this time, I would like to turn the conference over to Therese Byars. Please go ahead, ma'am.
Therese Byars: Thank you, Brandon. Good afternoon, everyone. This is Therese Byars speaking, and I'm the Corporate Secretary of FRMO Corp. Thank you all for joining us today. The statements made on this call apply only as of today. The information on this call should not be construed to be a recommendation to purchase or sell any particular security or investment fund. The opinions referenced on this call today are not intended to be a forecast of future events or a guarantee of future results. It should not be assumed that any of the security transactions referenced today have been or will prove to be profitable or that future investment decisions will be profitable or will exceed, equal or exceed the past performance of the investments. For additional information, you may visit the FRMO Corp. website at www.frmocorp.com. Today's discussion will be led by Murray Stahl, Chairman and Chief Executive Officer; and Steven Bregman, President and Chief Financial Officer. They will review key points related to the 2021 first quarter earnings. A summary transcript of this call will be posted to the FRMO website in the coming weeks. A replay of this call will be available for one month beginning at 07:15 this evening. To listen to the replay, the toll-free domestic number is 888-203-1112. The international toll number is 1-719-457-0820; when prompted, key-in the passcode 1236365. These dial-in numbers are noted in the FRMO press release dated October 15, 2020, which may be found on the FRMO website by clicking the link called Information Statements and Announcements. The press release can also be viewed on the OTC Markets website by typing in the ticker symbol, FRMO, and clicking on the news link. And now, I'll turn the discussion over to Mr. Stahl. Go ahead, Murray.
Murray Stahl: Okay, thanks Therese. And thanks everyone for attending. So, what I'll do today is, I'll point out some things in the income statement, I'll point out some things in the balance sheet, I'll give the audience some of the customary information which is ever growing that they usually ask for. I'll do some highlights of some things we're upto that I think you'll find interesting. And then we'll turn it over to questions; and I should tell you again, this time, I haven't seen the questions. I don't know what they are, I have not the slightest idea what they are but I have a feeling that can be very interesting. So, with that, let's start with income statement. And the first thing you'll observe is you'll see a lot of big negative numbers, and a lot of being positive numbers. Anyway, if you can guide your eye to net income loss for the most recent three-month period, what you'll see is with all that it comes out to comprehensive income attributable to the company, roughly $182,000; so, this is what it mean. It means that our investment in Texas Land Trust from May 31, August 31, declined -- actually declined precipitously. But since we consolidate HK hard assets, a lot of that is not actually attributable to us; so, you back that out. On the other hand, we had a fair amount of appreciation in our investment in South by South land, South West Sale, which you might recall is our vehicle for holding our seats and Minneapolis Grain Exchange. Minneapolis Grain Exchange is in the process of merging with Miami International Holdings, otherwise known as MGEX. MGEX started its life as primarily in the options exchange and on September 25, actually began operating a real-life equity for a change. So, it's almost a month they've been operating actually as MIAX Pearl and it's getting to be a pretty big output. So that's sort of the income statement highlights, lot of -- a lot of things going on but it ends up -- they end up cancelling each other out. On the balance sheet. The first thing I direct your attention to is, with all that activity, and I said for the quarter it's only $182,000 of net income; well, that's the gap rules. And if you'll turn your attention to shareholders equity, attributable to the company, it's a little bit less than it was on May 31 event, a little bit less than $115 million. Now we're up to $116.2 million SH, the shareholders equity attributable to ourselves, the shareholders. I mean, all of us collectively on this call, and the other FRMO shareholders. So, when I say all of us, I mean the FRMO shareholders, not myself and Steve, and the individual shareholders. I believe -- I looked this up the other day, so I'm going round it, I don't think I'm very far off. I believe the record shareholders equity, or the FRMO bunch is roughly $127 million. So, you can look at it this way, we've been through an oil price crash, we've been through a global pandemic, and a lot of other things in the last six months; and our thesis was that we were prepared for some gruesome things. Well, I leave it to you to look at the share price of TPL and some of the other things that happened. And this is -- we are, $116.2 million of shareholders equity, down by $127 million and it's a record. So, all things considered for a global pandemic and the worldwide depression, now, you know, I have to say, not so horrendous. I wouldn't want to experience it again, but I think we were reasonably never really prepared, but we were reasonably prepared to be safe for this sort of thing. The other points are statistical. So, I will just read you some numbers, if I may, because these questions are always asked. We're always asked the question, what is our direct and indirect ownership of Texas Pacific Land Trust, in some, as of the most recent period, it works out to 52,534 shares as of September -- that is -- that's data that's as of September 30; so, it doesn't exactly correspond with the August 31 number. So, I thought I'd give you the most recent. And the -- then the next question we normally get is, what is the quantity of GBTC; GBTC stands for Bitcoin Investment Trust. And that share quantity also incidentally, as of September 30, 2020, so doesn't exactly correspond, but we have the numbers, so you might as well have it. And that number in shares, GBTC is 560,831 shares. The next thing we normally are asked, which I will give you, and if I turn the page here, we're asked are direct coin ownership. And those are as follows; and these are coins that we own directly. There are also some coins we own indirectly, that are private partnerships; the First Direct, and then the Indirect, and these are our pro rata interests. So Direct Bitcoin, 66 coins; now that is rounded, normally we give you the decimal points, but maybe it's better to do it this way because it changes every day in the up direction, I should add. So, 66 coins. Litecoin, again, coins that we mined ourselves, 536 coins. Ethereum, 35 coins; Ethereum Classic, 662 coins; and Z-Cash, 52 coins. Indirect ownership by the private partnerships; Bitcoin Cash, 91 coins; Bitcoin SV, 91 coins. The Ethereum Classic Investment Trusts, so we had some Ethereum Classic shares or coins I should say in the funds, and we actually contributed them for shares of the Ethereum Classic Investment Trust and we own 1,546 shares. And then, we had some Bitcoin cash, which we actually contributed to the Bitcoin cash revenue trust, that gives us 1,375 shares of that. And we also have the XRP, otherwise known as Ripple Investment Trust, and that's 448 shares. And we have the Zcash Investment Trust, that’s 542 shares; and we happen to own indirectly through funds, 209 coins Bitcoin Gold. Bitcoin Gold, you might recall, is one of the forks that occurred several years ago of Bitcoin, we ended up collecting Bitcoin Gold but we never sell it, we never sold it. So, and that's actually our pro rata ownership. What are we working on? A couple of interesting things. Number one, we are in three days going to launch an ETF. First time we ever launched the ETF, and the theme of the ETF is going to be inflation oriented. And we're doing it for a couple of reasons. Number one, we think we're going to have some inflation. We could be wrong about that, but we think that we're could have some inflation. Secondarily, whether we're right or wrong, and that's merely a forecast, the popular indexes have moved so radically away from any inflation beneficiaries that inflation beneficiary just as a portion of the index, or the popular index, in any event is fairly de minimis. So, the world needs a product like that. And then it's actively managed, as opposed to passively managed. Why actively managed as opposed to passively managed? I have a feeling, even though I haven't seen the questions, I'm going to get a question about this. So forgive me that I might be answering part of it in advance. But the thing about the indexes is, and we've written this many times, in the fullness of time, in any index, something's going to be the best investment, and it's going to be the best investment just by appreciation. So, every index ultimately gets top heavy. And the question becomes, if you're passive, well, you have to accept that. And if you accept it, the first question is, are you even diversified? Meaning that if your best investment is too good, in a way, it's a little bit of a curse, because you may not want to be there concentrated. In other words, you ultimately become concentrated. One thing to be concentrated, because you chose that narrow thing to be concentrated, because it actually happened to you. In the case of index, like the S&P 500, it's concentrated in technology stocks, obviously. And it may well be that it continues for a very long time. But is that something that people really want and desire? Another way of looking at the same phenomenon is, they're looking at the biggest investments in the S&P look at the smallest. Then you ask yourself a question, how many investments in the S&P, meaning how many positions are one basis point in size? How many investments are two basis points in size? How many investments is three basis points in size, and so on and so forth? Well, anyway, if you look, you will observe a shocking number of investments. So obviously, if an investment is one or two or three basis points in size, in theory, one of those companies can go bankrupt every day, and be worthless by the close of business. And then one or two or three basis points that day will have no material impact on the value of the S&P 500. But if you looked at the companies themselves, in terms of what are their revenues, what are their total assets, how many people they employ, what relationships that they have with other companies, and so on and so forth, you would then see that if those companies de minimis though they are in the index, as weights, were to actually go bankrupt, might have de minimis impact on the index. It will be disastrous for the global economy, and even more disastrous for U.S. economy. So, what does that mean? That means that the index, as a matter of definition, if you look at that way, is no longer diversified in the sense that it doesn't reflect the economy. It just reflects the best performing stocks, but the purpose of the index was to be diversified, and participation in general economy, not be supercharged vehicle with the best companies that ever existed on the planet. They may be the best companies ever existed on the face of the planet, but it's gotten away from indexation. So, I believe we have to bring indexation back to where it was. And we need to bring diversification back to where it needs to be. And I don't think you can do a diversified portfolio. Oddly enough, it's almost bizarre for me to be saying this. I don't think you can move back to a classically diversified position without adding active management. So, we're doing this ETF, and first one we've ever done, and I think we're going to do others in the fullness of time. The other thing I'd like to say is that you might find interesting We've, subsequent to September 30; we're investing $2700 to try to build our own cryptocurrency mining machines. Obviously, when you fail, it's only your $2700. We're going to give it a try. And I actually believe we can do it. And if we do, it opens up a different kind of opportunity for us in the world of mining, and I think we've gotten a lot of experience. Just through the last couple of years, we've learned a lot. And I think we did actually -- if we could do this -- if we could pull it off, it would really -- it would really greatly raise our return on invested capital. It'll also have implications for our investment in Winland Electronics. So, as you probably know, we bought some more shares of Winland We're up to a 28.39% ownership. Winland itself, now with its mining, has, as of this reckoning, this is September 30, again, 2.9898 Bitcoin. So, we round it and call it three, our proportional ownership of this is even important to you, it's 0.8488. So, if you want to add nearly one Bitcoin to the look through basis, you can do that. I don't know if it's going to change your calculations. But there it is. Anyway, if we can do it, it will dramatically raise our returns of capital, not just for ourselves, but for Winland as well, because we're both going to be mining. And it's worth a try. That we're doing it with -- so we're doing that. There's interesting things going on. And we're going to be continuing doing hopefully more interesting things, which I'll tell you about next time we do a call like this. So, with that, I'll ask Steve, do you want to add anything to what I just said in terms of the outline.
Steven Bregman: No, not so far. I find this very engaging.
Murray Stahl: Okay, good.
Steven Bregman: I'll listen some more.
Murray Stahl: Okay, great. And now, Therese, if you'd be kind enough to read the questions.
A - Therese Byars: Yes. I'd be glad to. Okay. The first one says what is the look through ownership for FRMO shareholders of MGEX or the Minneapolis Grain Exchange and the pending transaction with Miami International Holdings.
Murray Stahl: Okay, so, two things here, let me give you the numbers first. So, obviously, as I said before, the vehicle via which we own shares in Minneapolis Grain Exchange is South LaSalle. South LaSalle owns at the moment 110 seats of the total 402 seats. That means South LaSalle owns 27.36% of the entirety of Minneapolis Grain Exchange. FRMO, as of September 30, owns 29.91% of the South LaSalle, so you could multiply the 110 seats by 0.2991. And I know we'll give you a round number, but that's on a look through basis, how many seats we own in the Minneapolis Grain Exchange. Now in terms of MIAX, you'll observe when you look at the notes and the financial statements, you will see our carrying value, or our investment at MIAX, you might recall that the MIAX shares even though we had a few, we actually got the bulk of the MIAX shares we currently own for exchanging Bermuda Stock Exchange for MIAX shares. So, the value we have as of the most recent date is $4.33 million. So obviously all the seats are going -- we're -- we could theoretically take some cash, but we don't want it, we want MIAX shares. We're tendering all our seats for MIAX shares, obviously, assuming this deal closes in due course, I don't know if it'll close by November 30, but it's possible but it should be closed by the end of the year. That means by February 28. We're going to have a look through basis, have a lot more MIAX. I hope that answers that question.
ThereseByars: Okay, now I have a series of others and some cover that same topic but first, what is the current ownership percentage of FRMO in South LaSalle, which you've answered. South LaSalle has acquired additional seats after the end of the quarter. Will these purchases increase the exposure of FRMO in MIAX in any way?
Murray Stahl: Well, it doesn't. And the reason it doesn't is because the South LaSalle Fund took in more money. And so, we were using that money. So, FRMO itself did not during the quarter, or subsequent to it, invest more money in South LaSalle, it's just that South LaSalle happens on more seats. But we are -- on a pro rata basis, we have the same number of seats.
Therese Byars: Okay. South LaSalle is a hedge fund; is the investment of FRMO in South LaSalle subject to management and or performance fee and does that differ from other LPs?
Murray Stahl: Okay, so first of all, South LaSalle is not a hedge fund because it only owns one asset other than some cash; Helms, the Minneapolis Grain Exchange, it's just a partnership. And the partnership exists to hold seats of the Minneapolis Grain Exchange. There are -- we ourselves don't pay a performance fee. There are clients who are in the fund that if this is a successful investment, there would be a performance fee.
Therese Byars: Okay.
Murray Stahl: So that performance fee would be collected by horizon Kinetics and I guess we would participate via our interest in horizon Kinetics.
Therese Byars: Okay, horizon kinetics recently filed a prospectus for an actively managed ETF. Can you talk about each case strategy with active ETF's going forward?
Murray Stahl: Okay, well, I refer to a little bit. So, the first one is the inflation ETF. And believe it or not, I think there's something like 1700 ETFs in United States and globally. I just looked this up the other day, and I actually don't believe number, my sources, the World Federation of changes, you could look it up and maybe I read the wrong line, but I don't think so. Globally, they're well over 15,000 ETF's globally, that's a big number. And I believe there's one ETF that we could find that's a beneficiary of inflation. And you could argue its beneficiary of inflation. So why is a big deal? Because unlike other assets in the world of ETFs, it's very hard to passively define inflation beneficiary. So, let me elaborate on that. Most ETFs are either an index like the S&P 500, or the NASDAQ 100, or Russell 3000, or something like that. Where the definition of membership, which has been party index, sizzle stock selection of all these no analysis, if the S&P says your party index and your party index, whatever the inclusion criteria are. Any inflation it's different, because the functional problem is, if there were inflation, would the expenses go up faster than the revenues? In which case you're non-inflation beneficiary or would the revenues go up faster the expenses? In which case you'd benefit of inflation but how do you know is that without doing some analysis, and need to do some analysis, it's not easy to do. The basic problem is for most companies, this biggest expense is the people. We thought of that. Let's just say again, I'm making up a number for illustrative purposes, this is by no means a forecast. Let's just say the inflation rate were 10%. So, if a company were producing a certain product, is it possible the company could raise this price by 10%? Of course, it is. Could the company then say to the employees, the inflation rate is 10%. Therefore, I will grant a 10% across the board salary increase due to inflation? Yes, of course it is. However, the reality is, if the company did that, the employees would actually not keep pace with inflation. I know that sounds arithmetically strange. But why is that? Because we live in the world of progressive tax system. So, if an employee makes x, whatever x happens to be, and the wages rise by 10%, they haven't been higher tax bracket. Therefore, the x after tax income wouldn't arise by 10% would rise by something less than a percent. The only way to remedy it is a company would have to increase the wages by more than 10% that they did that they would not be beneficial inflation may be hurt by inflation. Now you could say well, why can't the company raise the price of its product by 11% or 12% or 13% or 14% or somewhere a number present. And of course, that's theoretically possible for a given company. But it's not possible in the aggregate, because every company raise their prices on their goods and services more than rate of inflation, that would no longer be a rate of inflation by definition, the sum total will, of course, of all the price increases will be the new inflation rate. So, it's not possible. So, the only things that really work are companies that really have relatively low people expenses in relation to their revenue, and not all of them work. So, you have to do a certain amount of analysis. And that requires active management. So therefore, the ETF strategy, at least primarily is, there are certain contingencies, inflation just one of them, or which one could arguably assert that one would like to be prepared. So, you might or might not think there's going to be inflation, but very few people would assert that the probability is zero, and made the probability is one out of 100 or 1%. So that's true. A person actually believed that might say, well, I'll put 99% of my money in the S&P 500. And I'll put 1% in money and inflation beneficiaries, that would be a reasonable diversification of assets. Maybe they believe the probability is 2% or 200, which case they change your asset mix accordingly. So, there is we think, a market just because it arises indexation and represents a concentrated variable is a market for other contingencies, which can't be provided for it's impossible on a passive basis, and must be provided for an active basis. And it gives you an idea what ETF strategies, so the other things being watched. So, stay tuned.
Therese Byars: Okay, the next two has two parts. And it's also related to that. Can you give some insights into how different active ETFs are structured such as portfolio confidentiality, and transparency? Will the HK ETF be materially different in structure than, for example, those of Campos [ph] with active shares, or Ark invest?
Murray Stahl: Well, in terms of an ETF, we don't really need any confidentiality. So, what we're doing is pretty open. It's the result of research. There's nothing proprietary there other than the analysis we do to select the companies. And we basically share it with anyone at any event. So, I don't think we're going to need any unusual secrecy arrangements, it's going to be pretty open and honest with people. And we've not going to have trillions of dollars in it. Probably, I can't imagine we would, but if we ever did, maybe we'd seek a better arrangement, but we're not going to have enough money that we will be able to execute exactly what we want to execute whenever we feel like executing it. There's no reason to hide and we're not going to hide. Everything is going to be pretty as out as transparent as it could possibly be on the rules and regulations that we operate under.
Therese Byars: Okay. And did you want to mention anything about how it's structurally different from Campos active shares or Ark invest?
Murray Stahl: It's, it's not material.
Therese Byars: Okay.
Murray Stahl: To me, every ETF has slight nuances, because we're using something slightly different but it's just not material. There's nothing proprietary. There's nothing unique about it. Everybody uses a slightly different operational structure and it's just it's too Picayune to go into but it's not material let's put it that way. There's nothing unusual, there's no patents there's no proprietary technology and but use a slightly different methodology. And we'll use ours and you'll see it'll be pretty well disclosed once we're out there but there's nothing, this is nothing that's radically different. Nothing even debts materially different.
Therese Byars: Okay, different subject does for amount still have plans to move from pink sheet listing to crap the higher OTC Markets listing or one of the larger exchanges.
Murray Stahl: Eventually we'll get around to that. In the last six months or so, given what we went through. I guess it wasn't our top priority. But eventually we'll get around to that. It just wasn't something we're working on right now.
Therese Byars: Any thoughts to a stock buyback? I know it's been discussed as a possibility in the past.
Murray Stahl: Well, last quarter, we actually bought back a little stock. The problem is that, for us, because really a closely held company, stock buy back, I don't think is going to affect our valuation. What really means is we're going to have less assets to do things with, because the valuation is really set by the handful of people who traded in the handfuls of people were traded, are not going to change and we bought back five or 10, or 20% of the float, their opinion is not going to change, we're not going to get entirely new basis, shareholders, it might be very different. If the bulk of our shares were in the float, but I don't believe a share buyback is going to have any material impact on valuation or put it this way, you could say that they'll be less shares outstanding, and an asset value, well, it won't be the same, because we'll have less cash. But maybe we'll get more appreciation on the assets. And you can say in that sense, we get a little more so to speak, operational leverage that sense it could improve it, but then our shares will be less liquid. And the next complaint is going to be what it's always been is what are you going to do to improve liquidity your shares? So, we'll make our shares less liquid? I don't know that I want to go down that road in a meaningful material way. Although having said that, we bought some shares back last quarter.
Therese Byars: Okay. How has the recent Bitcoin having affected the mining business has the profitability been lessened?
Murray Stahl: The profitability is not lessened, the issue in the mining business is basically to buy machines with your excess cash flow. And lately, and this is entirely my fault. I have not been buying the machines. So, I've kept cash in reserve, you could argue, so it's my fault, you could argue that they should have been buying more machines. But they didn't do it for a number of reasons. One is not just because of the terrorist, but there was a lot of disruption just getting delivery, because of the Coronavirus issues. So, the idea of laying money out and getting delivery four months later, because machine only lasts so long. So, to lay the money out, and not have it delivered for four months. That's four months, that's productive life, because eventually there'll be another havoc, heavy metal tech problem. I didn't like that idea at all. And then secondarily, I thought there's an opportunity to actually build our own machine. So, one of the things we can build our own machines, we can get the parts fairly quickly. Like in days, like four or five or six days, something like that. We have the room, we own the building, we can buy a lot of parts who really had to get storage, we can take our time, and not risking a lot of capital and it could be a lot more profitable than buying machines. If it's not and it turns out it's a failure risk hardly any capital, we can go back to buying machines. Because eventually, like all pandemics, it will eventually this pandemic will have an end. And I don't know when it's going to be I guess, it's not going to be tomorrow but eventually have an end. And that point will make it to mid the equipment quicker. And maybe one day we'll have to pay the tariff, which is it affects profitability because it's a 25% tariff. And so basically, you're paying more for every machine and get them ignoring the shipping. It's one thing to get it shipped from the Far East center to get the parts shipped. And that can be found locally. That's a big difference in shipping as well. So that's kind of what we are doing. We proposed to at least in the short run. So, I hope that answers the question.
Therese Byars: Yes. So, the next one ships, do another topic. You have discussed with the depressed shipping sector in a positive light many times over the last several years. Container ship rates just hit a five year high and are still increasing. Any update or thoughts on the sector regarding this promising development?
Murray Stahl: Yes, well, it is a five-year high. But it's only a five-year high because the five years that preceded were so low. So, it's higher than it was. But it's nowhere near what it could be. You could say it's improving to a modest degree. Basically, as been shipbuilding for five years, and the inverse talk tomorrow, I just can't imagine if it would start tomorrow. But if it did, it would take years for those ships to get to the market. So, every ship is getting older, every single day. And eventually, they get scrapped. They're just no longer efficient. There are changes in regulations, there are changes in fuel consumption laws, and whatever. So, it's an improvement. We're very far from having the profitability that we could theoretically have, having said that, having been through a number of cycles, once it actually gets to acceptable levels of profitability, it happens just unbelievably rapidly once it commences. But, you know, if you look at some, like the broad Baltic Dry index, it's improved. But it's nowhere near what it could be. So, we're still waiting for the big profitability. But I'm glad to see it's improved.
Therese Byars: Okay. I believe you have stated in the past that FROM's initiatives in the mining of Bitcoin had the potential to be more profitable than investing in the currency directly. It's difficult for the typical investor to see how this could be achieved, could you explain the optimal mining potential and project the kind of return that would result in?
Murray Stahl: Well, let's put it this way? That, theoretically, you have two ways to get a Bitcoin. You can buy it, any of the market, you can buy it, it means you get the machines, you put them a hosting facility, and you do what needs to be done. That's a lot of work. So, if you got exactly the same result. I don't know why anybody would go and do the mining. It's pointless, I mean just by it. But if no one did the mining, we couldn't have Bitcoin. There's got to be a profit. The question and the problem is, how much profit it's going to be. Now, in the world of all cryptocurrency to second all businesses, there's what you call the rent seekers. There are all sorts of intermediaries along the way. There is the mining pool operator that pools all your hash rate of yours, but all the other people so you can get a daily payment of like everyone teaming up to buy a lottery ticket. There are the people who host and therefore are selling electric power in the people who do repair work, and so on and so forth. One of the things we've been doing is we invested a limited amount of capital and you heard one example of it. We want to go around all the intermediaries, we want to get to the point where we're going to do either everything ourselves, including building machines, hosting it doing everything. The more you do that he basically had to spend some time learning how to do all those various aspects. How do you buy electric power more cheaply? What are the optimal times to operate during the day, because a lot of people when you host, there's only one option to run the machines 24/7, but in the world of buying power, there are times a day when power is cheaper. So, it might be better, if you had control of the whole thing to operate on the part of day that could dramatically affect profitability when they're done. I alluded to earlier, if you build your own machines, there'll be a lot cheaper if you buy the machines from someone else, and so on, so forth. So, we've been developing last couple years expertise in doing this thing better and better and better. And to do that Those experiments, we haven't used any client money, we only use our money. I can't tell you every experiment was successful. We do experiments and we always work out. But it's been better I have to say then we had any right to expect and so learning curve like everything else, so what is all going to be ultimately be sitting we're successful everything the rate of return? The honest answer is, I don't know. I can just say I wouldn't do it if I didn't believe it's going to be far higher than actually buying the Bitcoin even though we've obviously bought a lot of Bitcoin. And we have it we think Bitcoin is going to be a very profitable investment. Just be more profitable. Let us think about in this regard. There might be a minor point it's worth stating I think I've stated this before. I have this theory at the moment, just a theory. I can't prove it. I believe that mint coins, ultimately are going to be worth much more than a regular coin. Why is that true? Because ultimately, I believe Bitcoin is going to be -- and the other one is going to be as well, a regular means of transaction. And it’s going to happen via banks. And for know your client rules, it's going to be very difficult to prove that money is untainted. Unless you had a coin with no record item, that it went through no hands. So, I believe there's going to be a business one day. Two, that a bank is going to lease mint coins. So, let's say we have 66 bitcoins [involved]. And hopefully, one day we'll have a lot more we have 66 Bitcoin, they're never been traded. We can prove beyond any doubt that we made those coins. We never traded with anyone. So, the provenance of that coin is known. If we leased it out to a bank and it can only be used by that bank’s clients. The bank's transactional activity will correspond to it’s know your client rules, and to comply with all Treasury Department regulations, and you get a fee for doing that. As a matter what will happen is, you'll still own your coins because they’re your property. Just like if you leased a piece of land or leased an office building, so your property, but someone else is using it and you get a rent. The difference is, unlike owning a piece of real estate, you have no operational expense, whatever operational expense there is, in transferring those coins hither and yon, that goes to the bank, and we just get a fee. So therefore, the we'd get a fee, it would be a percentage of market value, some percentage of the market value, whatever it happens to be. Now, if our costs were sufficiently low, the way you might look at it is, let's say it cost us $5,000 to manufacture the coins, let's make believe just through sake of argument, we have 100 coins and it cost us $5,000 each, one day a coin might be worth a million dollars. And let's say we got a 1% fee for leasing it to a bank. Okay, well, 1% of $1 million is $10,000? If we assume the cost basis is $5,000, the yield on cost is 200%. It actually have theoretically sinister like numbers on it, a 200% return on your embedded capital, and you have no ongoing expenses. That could theoretically happen. I personally believe it's going to happen. And those numbers are just for illustrative purposes. What if a Bitcoin worth $2 million, or a Bitcoin worth $4 million, or worth $10 million or worth $20 million? Imagine worth $20 million a coin as an outlandish number, and you got a 1% fee for leasing it. So, 1% of $20 million is $200,000. And your cost basis is obviously going to be in the same $5,000 your current capital is actually astronomical, you don't have to have any numbers like that. Now, some people have written recently, this is not my idea of just transmitting the ideas of others. They talk about something called the Bitcoin reserve. So, what is the Bitcoin reserve, they define the reserve to be the coins that are custody by the various exchanges. Now, exchanges become involved exchanges has a very precise legal definition. And you get submitted to certain regulations and data exchanges in the way I think of it, they're really broker dealers, but they call themselves exchanges, and they happen to custody the points. So, you could look at it this way, which is the way some people look at it, that the coins in custody are liquidity reserve. So if I want to buy a Bitcoin, I would have to go to one of these exchanges, which I call brokers, and I put an order in for one bitcoin, and presumably the Bitcoin would come from somebody wants to sell it with a coin for custody there as liquidity reserve, in the last two-ish months, maybe a little more than two months. The Bitcoin reserve which is, remember, this is some of all the coins, that they have in all these various exchanges, it's been declining. I don't remember how much it declined by, but it's a fairly substantial decline in a relatively short period of time. So, like anything else in the world, the supply which appears to be shrinking, and the world the demand, which appears to be growing, because it’d be clear fun starting over the world, there are people getting introduced to Bitcoin and other cryptocurrencies as well, and supply and demand right balance, the price usually goes up. So, a lot of people are very optimistic about it for that reason, and it could change upwards in a radical and radical way and not too distant future is their basic investment thesis. So, I think that answers the question.
Therese Byars: Yes, so too. The second part of it already answered and the next says what percentage of 's cryptocurrency exposure is allocated to Grayscale, which gave us those numbers?
Murray Stahl: Yes, gave it a number. So, obviously the bulk of it is Grayscale is the Bitcoin Investment Trust, and some of the smaller ones as well, like the Bitcoin cash Investment Trust and the XRP Investment Trust, and so on, so forth.
Therese Byars: Okay. Recently HK has filed for an ETF, will it be a standalone? Or are you considering a family of ETFs? And how will they be marketed against the large ETF family? So, they could become largely held and potentially reach $1 billion or more?
Murray Stahl: Well, and guess what?
Therese Byars: One more.
Murray Stahl: Yes. Okay. Yes, please…
Therese Byars: Can I tag on how do you consider the crypto ETF and can ever participate?
Murray Stahl: Okay. To begin with, so I mentioned we filed for ETS. And hopefully if everything goes right, you know, more or less three days, you never know exactly, because you deal with the regulators, more or less 30 days from now, we will have an ETF. We wouldn't be doing it, just to have one ETF. There's going to be other ETFs that follow. But I know you'd like me to tell you what they are. But I think we have some pretty good ideas. If I tell you right now, there are people with more resources, there's a great idea somebody could be listening to this call, and they'll do the ETF like, it's not to have any great secrets. But I don't think it's such a great idea to tell you what it is, hold on, I would love to share it with you. But I don't think it's so it's such a bright idea. The -- we've actually hired a couple of people; they're going to market it. The preliminary results, you never know how much money you're going to get. The preliminary results of what we believe are going to get on the first day actually exceed my expectations. So, I'm not saying we're getting a billion dollars, but it actually exceeds my expectations. Everything we're going to do, and all ETFs are going to be unique. No one's anything we do, is going to be different than anything anybody else has done before. As far as a Bitcoin ETF goes, actually just have an ETF that owns nothing but Bitcoin. I don't know that I'm interested in doing that. There's ultimately what's going to happen to that kind of debt, I would put that in the genre of passive. So eventually the technology of how to do it, a lot of people are going to figure it out, they'll be doing ETFs over the world. And they'll be available for a handful of basis points. I don't think in the long run, that's what we want to do. Now there are interesting things doing cryptocurrency. And I hope we're doing some of them. And I'd rather devote my attention to that, rather than just going for a lot of AUM in a very short period of time, that may deteriorate into a very low fee, although a lot of it did and less interested in what I would call gigantism, which is what that is, and more interested in proprietary things. So, I hope we're moving in the direction or hope you agree we're moving in the direction of proprietary things. So, Bitcoin ETF is not our to do list right now.
Therese Byars: Okay, the next question has to do with inflation. At the conclusion of some recent commentary I mentioned was faith that there seemed to be signs that there was a transition of sorts going on into a more inflationary environment. Inflation headed to and above trend level, also mentioned was an increase in interest rates, but your indication seemed to be that the increase would be muted. Can you comment on these descriptions?
Murray Stahl: Yes, now let me do the interest rate first. So other than irrelevant increases, I don't think the world can afford the interest rate increase. So, one basis point to two basis points or three basis points of raise, it's irrelevant; so, we're going to disregard that. But let's just say, for the sake of argument, rates went up by 1%. I'm not forecasting. I'm just saying if it were to happen as an illustration. The total debt of the United States of America, that's not the federal debt, that's every piece of debt they own [ph], everything from a Federal bond to a credit card loan to a student loan to a municipal bond to a state bond is a State GO, general obligation, whatever it is, that comes to a total $84.4 trillion. How do I know that? Because the national debt clock or the U.S. debt clock, it's called sometimes, to give that information. That's where I get it from. So, it's 84 -- let's say it's $84.4 trillion, trillion with a T. The total interest paid right now annually on that $84 trillion is $3.859 trillion. So where do you pay it from? You can only pay it from the GDP. GDP of the United States is roughly $19.8 trillion -- maybe $19.8 trillion. So, let's say we're $19.8 trillion, which I don't even think it is. But let's say at worst, I take $3.859 trillion and divide by let's say $19.8 trillion. That means roughly 19.5% of the U.S. GDP is used, or national income, is used to pay interest. So, what if that number $84.4 trillion, remember the total debt, of everything, and everybody, even though I personally don't even have any debt really, and a lot of people don't. That makes it even worse because it concentrated and not in everyone's hands, but a portion of the country's hands? Well, what's 1% of $84.4 trillion? It's $844 billion. Let's take $844 billion divided by $19.8 trillion, and you get to see, it moves needle a lot. Now, you could have made it 2% or 3% or 4%. Whatever number you want to use in theory, interest rate, increased assumption, and remember that $84.4 trillion is constantly, I mean, every hour of every day growing, constantly growing. So, it's a moving target, you'll collapse the economy. Then people won't be able to pay the interest, it can't be done. It just cannot be done. That's not going to happen. So, there are only two other things that are going to happen: One, people can be reasonable and stop accumulating collectively that kind of debt. Unfortunately, I don't see evidence of that. I just don't. I'd like to -- I wish it were true, but it's simply not true. That number is going up incredibly rapidly, and it's not only and maybe not even primarily for consumption purposes, like for example, as a $5 trillion private equity business, all it really is, is leveraged equity, the way you enhance returns by cheap debt. So, a lot of people try to enhance modern returns by cheap debt because it's cheap. That's part of the problem. And there's no break to stop it. The only break theoretically to stop it is central bank to raise interest rates. But for reasons I stated before, they are powerless or unwilling, which -- whichever one you want to use to do that. So, it's going to be a problem. I don't see this -- the only other scenario, and as I said two possibilities. Now we have a third possibility. The debt is going to have to be monetized not just a federal debt, but the state debt, local debt, even different kinds of private debt, and it is, because you saw the Federal Reserve invest in private partnerships run by a treasury and it's buying all manner of debt, every kind of piece of debt you can possibly imagine. So, it's being monetized. The only way it can be monetized is putting up money. That's already happening. The only question is what is the rate at which it's going to continue? Will it accelerate or not? I personally think it will, just because I watched the debt numbers accelerating. So, you won't stem the problem that way unless you accelerate the purchases away -- along the way, and you can't accelerate the purchases without creating more money. The more money you create, the more inflation you're going to get. Because that's basically the definition of inflation that the amount of money available is rising faster than the goods and services are available. If you believe in the law of supply and demand, you'll get inflation. That's where it comes from. That's what I ultimately see happening. And I think it's having that -- that's why FRMO's positioned the way it is. That's why we have hard assets. That's why we have hard assets portfolio. That's why we have cryptocurrency and that's why we're doing the inflation ETF. We really believe that's going to happen. And I think a lot of people will come to see that. No guarantee I'm right but that's the way we see it. So, what have I left out; if anything?
Therese Byars: No, I think that kind of answers it. Yes. Okay, the next few questions; they relate to Bitcoin, then there is one on the rent front and one on MIAR [ph]. So, I'm going to read the three that have to do with BTC with Bitcoin. So, with the mining equipment sold to Winland, how many Bitcoin are they mining per day? What are the economics? Also, what are the economics of Bitcoin and other crypto mined at FRMO? And that's that. The next one sort of repeatable; so basically Winland BTC -- yes.
Murray Stahl: Well, especially we -- we spent $4,000 on the mining equipment. And we've been mining for about 90 days, roughly; in that 90 days, we've gotten a little less than three Bitcoins. So, you could look at it this way, let's just call it three because it's going to be three in a day or two; three Bitcoin, you can multiply by their price if you like, that's actually a fairly big amount of money in 90 days in relation to $4,000 we've put up. But you also have to calculate the cost of electric power to Winland; we're paying $0.05 a kilowatt to the power. The expenses for mining Bitcoin crudely, right now at $0.05 a kilowatt, is roughly half of what it cost to me, or what the market value of the Bitcoin is. So, the Bitcoin were, let's say, $11,800; if you abide by too crudely, those are the expenses. It's not exactly that and the reason why exactly that is, you know, electric power prices constant, the hash rate, and therefore the amount of coins you get, and this is definalized [ph] is changing slightly every single day. Some days, you get lucky, and you're mining a little bit extra, and some days you're not, you mined a little bit less. So, you can't give a precise number but those are basically the economics. The economics for FROM; in some of the machines, not all the machines, and some machines are a little bit better, because we have a greater variety of locations. So, in some locations, FRMO is mining -- it's mining expenses are at a lower rate. Now, if we're -- if we're successful in our efforts to build the machines, and they pay a lot less than machines, and -- but they will -- we'll still be mining the same number of coins and we'll still be consuming basically the same amount of electric power. So, the economics will go up a lot, which is why we're interested in trying this. So, I hope that's pretty thorough.
Therese Byars: Can you talk about your strategy at renting [ph] fund and how it is developing?
Murray Stahl: Well, basically, the -- there are a lot of investments that would be better off in a closed-end fund format. The basic problem with a closed-end fund is, they all seem to go to discounts to net asset value; so, it's very hard to ask people to put up capital and even that's successful as investments to basically see it go to a discount to net asset value. That being said, is some interesting things in rent fund, so I'll point to two of them, when we have a very big tax loss carry forward, which we're looking to utilize; and you would think that's worth something. And then secondly, there's -- actually when we got control of rent fund, it is an investment in there called Petra Hunter Bonds; we've put out a press release on this, I think today. So, the bonds were theoretically worthless, and -- now are worthless, and we actually got a fairly big payment on a couple weeks ago, and we might even get more payments. So, a lot of assets that you could do a lot of things with in a closed-end fund format, but you really can't do in an open-end format. I'd like to find ways to make the fund bigger; working a lot of stuff, I can't obviously say what it is, but we're working out.
Therese Byars: Okay, so the last question says, now that the exchanges have been consolidated: IX, MGEX, Bermuda Stock Exchange; do you ever foresee a day where the entity becomes public? Also, what do you see happening with the brick’s rollout on MIAX, the bricks are that commercial real estate indexes? Anyways, that's the last question.
Murray Stahl: Okay, let's do. Yes, okay. So, let's do the last part of it first. So, the world of exchanges, this applies to every exchange, including MIAX, the world of exchange has been couple years, it's going to be radically different than the way it is today. The way exchanges historically evolved is as follows: the companies -- look, the exchange was a place for raising capital. And we want to raise capital, the shares, people buy them if they find those to be alluring investments, and then they trade. So, the exchange makes money from listing fees [ph], exchange brings money, obviously, from trading; and exchange makes money from selling the data. And the people put together portfolios, and some do it stock by stock basis, some do it on a macroeconomic basis, they might say, I think the economy is going to be good or bad or whatever; and the problem with it is that the securities in general, no matter what they are, they are highly idiosyncratic. So, what I mean by idiosyncratic; you know, what you think is going to be performance over a short period of time based on the variables you think are irrelevant; turns out, it's not that performance. I'll give an example, just on the FRMO case. If you look at TPL because you see it in our financial statements, look how much it declined between May 31 and August 31, it's a lot. So why don't you look at the price of oil on May 31 relative to where it was on August 31, or now even. And why don't you look at the price of natural gas, they are higher, not lower; and the price of oil is only marginally higher. Price of natural gas is materially higher but how can it go down that much? In other words; if it was May 31 and we had the Wall Street Journal of September 1, and we knew what the price of oil is going to be and the price of natural gas was going to be, we would have thought that TPL is going to go up and it didn't. So, what does that have to do with MIAX? Well, it has everything at MIAX and has everything to do with every other exchange as well. So, it's coming out, and you'll see that the index we referred to, but it will be many other indexes. So instead of somebody saying, I'm buying the stocks, I think the economy is going to be good or bad or indifferent, we will actually be able to make an investment based on your forecast, you might say, the GDP is going to be up 2% or 3%, or something else. And if it is up that or more, I mean your analysis maybe flawless [ph], you'll get paid based on some pre-agreed upon formula, agreed upon formula. And if the GDP doesn't go up by that amount or even goes down, you might have to pay in accordance with some pre-arranged formula. And the idiosyncratic nature of investing will be radically different. Now, once you have enough indexes like that, it should be fairly obvious that that makes conventional indexes completely obsolete. Like, why would you buy the S&P 500 because you thought the economy is going to go up, if you can invest in the GDP itself. Who would do that? So, it's going to turn the world right back to active management, that's what's going to happen to the individual stocks. So, the new ways the markets are going to work are going to be very different. And it's not that stock investing or options investing or anything else is going to go away, it's just not going to be indexed the way it is right now because it's just too idiosyncratic. That being said, exchanges are going to be very different, and an exchange that owns a clearing house is going to be incredibly valuable because there is only three clearing houses in United States America; one is owned by CME, one is owned by Intercontinental Exchange, and one is owned by Minneapolis Grain Exchange. And I don't believe there is going to be any more created for a simple reason that it takes a lot of regulatory bandwidth to oversee clearing house because it's so, the operation is so critical; and it's not so easy to do either. By the way, it requires a lot of detailed work. So, if you can do security is like that, basically somebody is making investment upon a certain forecast, whatever it happens to be. And you got to put up money, and the money has to be held somewhere, where is it going to be held? It's going to be held in the clearing house. So that kind of business, an exchange point of view is a fairly lucrative business because it can -- because it's tremendously scaled. Think about, I'm not saying there is ever going to be a GDP security, I'm just making it up because -- now maybe some will get an idea; next thing I know, there'll be a GDP security, but I don't know who's coming out with GDP security, but it could happen. So if they did, obviously contract a lot of money, and a lot of money we deposited in the clearing house, and the exchange business is just an economy of scale business. The more throughput you'll have in the given operations, the more profitable it is; so, exchanges in general have those faculties and they are all looking to do things like that. That's the way exchanges are going to work in the future and that's what every exchange is looking to do. And I don't think there is any exceptions in that regard, some obviously will be more successful than others. I think that answers the question. What do you think, Therese?
Therese Byars: I think it does.
Murray Stahl: Did I miss anything?
Therese Byars: No. I think you answered all of those many questions very, very cogently.
Murray Stahl: Okay, what's next?
Therese Byars: That was our last one.
Murray Stahl: Okay. Well, in that case, all that remains is to do two things; one, Steve, would you like to give some concluding remarks? If you have anything to add to what I said, feel free to disagree with me.
Steven Bregman: No, I don't think so. I'm good.
Murray Stahl: Okay. Okay, he's good. And therefore, I hope you're good as well. And I'm pretty good. So, with that, I just like to thank you for your attention, and thank you for your support. And of course, we're going to reprise this in another three months, and I hope you enjoyed the presentation. Hope you found it helpful. And onward to the next, whatever the next thing is, we're going to do. So, thanks, everyone. And we'll see you again 90 days. Good afternoon.
Operator: Thank you, ladies and gentlemen. This concludes today's event. You may now disconnect your lines and enjoy the rest of your day.